Operator: Good afternoon, ladies and gentlemen, and welcome to indie Semiconductor's Third Quarter 2022 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Ashish Gupta, Investor Relations. Mr. Gupta, please go ahead.
Ashish Gupta: Thank you, operator. Good afternoon, and welcome to indie Semiconductor's Third Quarter 2022 Earnings Call. Joining me today are Donald McClymont, indie's Co-Founder and CEO; and Tom Schiller, indie's CFO and EVP of Strategy. Donaldwill provide opening remarks and discuss business highlights followed by Tom's review of indie's third quarter 2022 results, as well as our fourth quarter outlook. Please note that, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the strategic backlog formulation methodology, please refer to our safe harbor statement on our Q3 earnings press release. For material risks and other important factors that could affect our financial results, please review our risk factors in our annual report on Form 10-K for the fiscal year ended December 31, 2021, as well as other public reports filed with the SEC. Finally, the results and guidance discussed today are based on certain non-GAAP financial measures. For a complete reconciliation to GAAP, please see our Q3 earnings press release, which was issued in advance of this call and can be found on our website at www.indisemi.com. I'll now turn the call over to Donald.
Donald McClymont: Thanks, Ashish, and welcome, everybody. I'm pleased to report that, indie delivered another record quarter of results in Q3, driven by increasing demand for our highly innovative Autotech solutions, coupled with absolutely tenacious operational execution. We were once again able to substantially outperform the automotive industry and navigate the challenging supply chain environment going to our breakthrough product portfolio and differentiated core IP as well as leading customer and supplier partnerships supported by a world-class team of over 600 indie employees worldwide. Specifically, during the third quarter, we significantly outpaced our addressable markets and grew revenue 147% year-over-year and 17% sequentially to just over $30 million, while expanding gross margin beyond the 50% mark for the first time. As we'll outline, our ADAS, user experience in electric vehicle solutions are gaining design win traction across leading Tier 1s and global automotive OEMs. In fact, I'm delighted to announce that our strategic backlog has reached the sum of $4.3 billion as of today and more than doubling from the $2 billion we outlined at the time of our IPO launch less than 24 months ago. This significant growth reflects large-scale program wins across our product portfolio, and especially within radar, vision, advanced lighting and wireless charging applications with both new and existing customers. Accumulating this level of strategic backlog in such a short amount of time validates our decision to IPO sooner. Historically, customer feedback indicated a stronger balance sheet was key to securing substantial programs. Post IPO, we have quickly moved up in V class. And not only are we on numerous approved vendor lists, but we are increasingly offered some of the largest opportunities within Autotech. Given the over consolidation within automotive semiconductors over the past decade and the extremely high-barriers to entry. I fully expect us to continue to outpace the broader automotive market and win a disproportionate share of new programs over the coming years. Keep in mind, when we founded indie in 2007, there were roughly 30 semiconductor companies who had sizable auto IC businesses. Yet by the time that we went public, there were only a handful remaining due to aggressive merger and acquisition activity in the interim as companies and VCs alike turned their attention away from automotive semiconductors in search of short-term investment cycles. Just as the competitive landscape was dramatically thinning out, massive demand was building for next-generation technologies, ranging from highly integrated safety systems to in-cabin solutions as well as more power efficiency following The Advent of Electric Vehicles. Quite simply, there were not enough qualified semiconductor suppliers, supporting the global automotive market. Over the past decade, legacy incumbents have been focused on optimizing their operating margins to maximize cash return to shareholders at the expense of R&D investment. As a result, product roadmaps have suffered and when capacity became tight during COVID, steep product price increases passed along to Tier 1s and OEMs, further inflame the channel, which still led to empty car showrooms around the world. These dynamics have contributed to indie's ability to effectively 5x our revenue run rate over the past 24 months and more importantly, add large absolute dollars to our strategic backlog, setting the stage for accelerating top line growth over the coming years. Reaching this point is, of course, not been easy, and there were no shortcuts. We're an overnight success, just 15 years in the making. Through the lean years, challenges included having a critical mass of design talent, demonstrating product reliability, possessing a strong financial foundation and adhering to all requisite automotive quality standards. With nearly 200 million unit shipments now behind us and indie content within marquee automotive brands around the world, including Audi, BMW, BYD, Ford, General Motors, Hyundai, Neo, Nissan, Porsche, Stellantis and Volkswagen to name a few, those prior headwinds have now turned into tailwinds for us. As such, our growth engine and opportunity funnel is just getting started in pursuit of the uncrashrable car and the revolutionary in-cabin experience. To that end, indie is uniquely investing in a range of automotive sensor modalities deployed in new and emerging vehicles, including ultrasonic centers, visible spectrum and infrared cameras, light detection and ranging or LiDAR as well as short-range and long-range RADAR. We are technology-agnostic and believe that each of these sensors will play a critical role within the next generation of vehicles. As no single sensing modality can meet the requirements of all autonomous and safety features, the industry is moving towards sensor fusion, the ability to bring together and process inputs from multiple sensors, including cameras, LiDARs and RADARs for vehicles with higher levels of automation. indie is at the forefront of this edge sensing SeaChange and offering various solutions to address different sensor modalities. In fact, today, we uniquely offer a range of sensing solutions, including our Sonosense and Echosense ultrasound family, featuring built-in digital signal processing. By quick background, Ultrasound operates above the human hearing range of 40 kilohertz and is commonly deployed to provide practical low spatial resolution and short-range sensing use cases up to a few meters such as parking-assist. During the quarter, we ramped our ultrasound portfolio at leading Tier 1s in support of multiple car OEMs. At the other end of the performance spectrum, vision sensors operate in the visible light or in infrared and offer the highest spatial resolution. When this superior resolution is combined with color, contrast and character recognition capabilities for road sign leading, for example, vision-based sensing provides a level of scene interpretation, object classification and driver visualization that other sensing delta simply cannot match. Vision use cases include surround view, driver and occupant monitoring, digital mirrors, forward-facing cameras, autonomous emergency braking and lane centering. I'm pleased to report that during the quarter, our Vision business unit captured their first design win, setting the stage for a global proliferation of indie vision solutions for years to come. Turning to LiDAR, which uses the laser to eliminate the scene and incidentally is not a material contributor to our strategic backlog yet. Our solutions are clearly resonating within our partnership channels. During the quarter, we were awarded LiDAR Solution of the Year by AutoTech Breakthrough, plus LiDAR Development of the Year by AutoSens. We are working closely with half a dozen partners on our Surya SoC development programs design phase as we speak, with plans to convert pipeline opportunities into contracts and ultimately substantial revenue. Surya is a truly unrivaled LiDAR solution, comprising indeed innovative high-speed analog, mixed signal, ESP and software, combined with TeraXion’s best-in-class laser and sensing technologies. Through our unparalleled semiconductor, software and optical integration, we believe indie can uniquely democratize three-dimensional imaging, which is ideal for creating extremely accurate depictions of the vehicle surroundings, pivotal to enabling the high-level autonomous driving use cases of tomorrow. Lastly, and by no means least, RADAR represents indie’s single largest ADAS investment area currently, and fastest growth avenue. RADAR’s operate in the radio frequency at around 80 gigahertz and can detect objects and relative speeds from less than a meter up to 300 meters in darkness or recruited situations, making it an extremely critical center. Today, RADAR is widely deployed for automatic emergency braking, adaptive cruise control, lane change assist and blind spot detection applications. In the near future, it will also enable the high-volume cross-traffic detection application. Through our acquisitions of Analog Devices radar division as well as on Symeo’s RADAR team, we have accelerated our product development, bringing together leading enabling technologies over 250 man years of cumulative development, 205 related patents and applications as well as world-class mixed signal SoC capabilities, effectively rounding out our sensor modality portfolio. In fact, earlier this year, we captured our single largest design win and entered into a strategic supply agreement with a leading Tier 1, which contributed to the majority of the incremental increase in our strategic backlog. Shifting gears to our user experience portfolio. You're likely noticing how automotive OEMs are increasingly advertising convenience, electrification range and a modern in-cabin experience and are talking far less about torque and horsepower. And by looking at a vehicle beyond being a functional tool for travel, we see the emergence of a radically different cockpit environment where passengers engage in communication, entertainment and information sharing, in effect a temporary home and for any workplace. In this view, we see the powerful role intelligent interior electronics can play in delivering the best possible user experience throughout the cabin. Lighting has always been a fundamental aspect for vehicle design. However, in modern automobiles, in-cabin lighting goes far beyond the functional or safety necessity and is critical for enhancing the user experience of vehicle occupants and developing a positive association with the automotive brand. In fact, Audi has publicly stated that Lighting visualizes the brand's core values, progressiveness, sportiness and sophistication. The ability to provide automotive designers with more options and form factors for lighting placement throughout the vehicle, has opened the door for advanced LED technologies and smart lighting systems. These advancements benefit not only interior cabin lighting and instrument illumination, but external vehicle headlights and taillights. At the same time, seamless integration of mobile devices within the automotive environment is increasingly the way OEMs can differentiate their cars. As a result, providing high-performance mixed-signal interfaces to bridge these two wells is now a key element of intelligent cabin design, which means implementing systems such as Apple CarPlay and Android Auto that allow occupants to safely use their mobile devices to make calls, send and receive messages and enjoy their favorite music seamlessly. Also, the provision of the USB-based power delivery infrastructure supports the often simultaneous in-carbon charging for mobile phones plus higher-power devices such as tablets and notebooks. As a testament to our progress in advanced lighting, I'm particularly pleased to report that during the quarter, we were able to secure initial production orders from our newest generation lighting products from two of the big three US automotive OEMs. Finally, in the EV area, we were able to expand our design win footprint at multiple electric vehicle OEMs. We are seeing an accelerating shift to electrification amid longer-term secular tailwinds. According to Cox Automotive, EV sales grew 67% in the third quarter of 2022, while overall US auto sales were down around 1% for the same period, while penetration of EVs has increased considerably to 6% of US new vehicle sales, up nearly three times in the last two years. The US has a long road ahead to reach a similar mix of EV sales as Europe or China, let alone the Biden administration's target of 50% of new vehicle sales by 2030. indie is well positioned to benefit from the electrification megatrend and capture significant share due to our strong relationships with an increasing number of leading EV OEMs. Further, our broader Autotech portfolio tends to gain a substantially higher attach rate to newly designed electric vehicles, given our degree of innovation and power efficiency, critical to maximizing vehicle range. With that, I'll now turn the call over to Tom for a discussion of our results and outlook.
Tom Schiller: Thanks, Donald. indie delivered a strong third quarter, once again on plan and producing record results. In fact, Q3 represents our sixth consecutive quarter of beating or at least meeting our guidance, post indie's IPO last summer. Revenue for the period was up 147% year-over-year and 17% sequentially to $30 million. Gross profit was $15.1 million, translating into a 50.4% gross margin, up 740 basis points year-over-year and 180 basis points sequentially and above our 50% guidance. To put this performance in better context, when we announced our plans to IPO in Q4 2020, indie was at just $6.7 million in quarterly revenue with a 35.4% gross margin. Since then, and despite global supply chain constraints, we successfully scaled our business nearly five-fold and increased our gross margin by 1,500 basis points in less than 24 months. Turning back to Q3 results. Operating expenses were $30.9 million, slightly better than our guidance for $31 million. In particular, R&D investments were $24.2 million in support of accelerated product development, while SG&A of $6.7 million reflects continued investments to further extend our sales reach. As a result, our Q3 operating loss was $15.8 million. Interest and other income yielded $0.5 million and taxes were negligible. In turn, our net loss was $15.3 million with a net loss per share of $0.10 on a base of 150.7 million shares, $0.01 better than our guidance. Turning to the balance sheet. We exited the period with $150.8 million of cash and limited debt. During the quarter, we invested $9.9 million in working capital, including onetime inventory prepayments and IP licenses. Capital expenditures were $2.7 million in support of expanded lab equipment and global IT infrastructure. Finally, and as an offset, we raised $12 million through the sale of 1.5 million shares under our ATM program. Looking forward, based on the depth of our new product pipeline, we plan to maintain outsized top line growth while further expanding our gross margin over the planning horizon. Specifically, for the fourth quarter of 2022, we anticipate sales growth to an approximately $132 million annualized revenue run rate with gross margin expansion into the 51% range. We are planning nominal increases in operating expenses with $25 million in R&D for additional mass sets and $7 million of SG&A for incremental marketing investments, but further reductions, again, on a percent of sales basis. Below the line, we anticipate a pickup of $750,000 of net interest income and no taxes. Assuming 152 million shares outstanding, we expect a net loss of $0.09 per share, once again, a $0.01 better than consensus estimates. Further, and perhaps most importantly, given our strong order visibility, demonstrated scalability and planned operating expense leverage, we are on track to reach profitability in the second half of next year with narrowing losses from here, representing key next steps towards realizing our 60% gross and 30% operating margin target model. With that, I'll turn the call back to Donald for his closing comments.
Donald McClymont: Thanks, Tom. To summarize, Q3 marked another quarter of record results for indie, and we couldn't be more excited for the opportunities ahead, particularly given the $4.3 billion of strategic backlog we've achieved. Our comprehensive and differentiated portfolio of ADAS, user experience and electric vehicle solutions are gaining design win traction, which is beginning to translate into substantial revenue growth as new programs and customer’s ramp around the world. Accordingly, indie has never been better positioned to capitalize on our $27 billion annual serviceable market opportunity, sustainably outpace industry peers and ultimately, to create extraordinary shareholder value. We look forward to updating you along the way. That concludes our prepared remarks. Operator, let's open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question is from the line of Suji Desilva with ROTH Capital. Please go ahead.
Suji Desilva: Thanks. Hi, Donald. Hi, Tom. Congratulations on the progress of indie.
Donald McClymont: Thanks, Siim.
Tom Schiller: Thank you. Thanks, Suji.
Suji Desilva: So, yes, so some specific questions. I want to talk about. The VisionQ and computer vision, the first one you've gotten. Can you talk about the progress from when you announced that Donald a few quarters ago to this first win? What kind of happened in the interim? And more importantly, competitively, there are guys out there like Mobileye, we're very well positioned as umbrella. Curious, how you see this playing out going forward?
Donald McClymont: Well, that's a good question, Suji. I mean, really since we announced the presence of the group, I guess, three or four quarters ago, maybe more than I forget. It's really been heads down and executing on just really phenomenal project definition, product definition that we came up with. The resonance in the market has been phenomenal for this. And the first -- this is the first commitment for this product that we expect will be the first of many. I mean, as regards to the names that you mentioned, we don't really care ourselves competing head-to-head with these guys. And in most cases, we're more or less adjacent to them. We view ourselves as providers of edge interfaces, very close to the metal of the centers that provide a layer of abstraction as the guys were maybe focusing a little more on the central compute.
Suji Desilva: Okay. Helpful to draw that distinction there. And also another area to ask about the lighting area, a very impressive two to three big auto guys. Curious, if those are competitive wins versus what those carmakers were using in the past or whether these are kind of new platforms that you're kind of parachuting into...
Donald McClymont: I mean largely, when we deploy new programs, we're at the point where there's a new piece of technology being deployed. We always view that when there's an inflection point in the market, it creates a great opportunity for us to deploy a new technology. So largely in those cases, it's been fairly new. I mean there are competitor -- there are competitors in the market, of course. If there weren't, then they wouldn't be worth competing ourselves. So of course, we do take share away from some people in some cases. But I mean, largely speaking, usually, it's when there's new deployment of technologies. And these, kind of. programs deploy perhaps a touch more quickly than some of the other things that we work on, and they still have a very nice dollar content per car.
Suji Desilva: I appreciate that clarification. I'll pass it along. Get back in queue. Thank you.
Operator: And our next question is from the line of Ross Seymore with Deutsche Bank. Please go ahead.
Ross Seymore: Hi, guys. Thanks for asking question. One is going to be near-term and then long longer term. For the first one in the near-term, you guys have talked about some of the supply shortages. I didn't seem to slow you down, but it definitely was gumming up the works in an aggregate. So any change in kind of the supply-demand environment in the very near term?
Donald McClymont: Well, with consumer demand falling, we have seen some significant easing in certain aspects of the supply chain, particularly package and test now is fairly relaxed compared to what it was 12 to 18 months ago. Wafer supply in certain nodes is significantly alleviated. But in some of the more trailing nodes where they're particularly focused on mixed signal, they are still somewhat tight. And as regards the demand for those kind of products is still super high. I mean we see that being in very strong demand as far as the eye can all through 2023 and beyond as far as we're concerned. So, there'll still be something to manage through for us. But we spent a lot of 2022 tightening our contracts, making forward-looking commitments to our -- particularly our wafer suppliers and then also asking our customers to take -- make that pass-through commitment to us to take the product. So, it does give us a very nice sort of short and medium term visibility of where we're going with the revenue.
Ross Seymore: Thanks for that color. And I guess as my follow-up, a little bit more longer-term question. The strategic backlog is impressive. But I wanted to just dive a little bit into two aspects of that. The composition of it, how that's changing? I know you talked about radar being the biggest portion of the incremental increase year-over-year. Any more color you can give on that? And then similarly, the margin profile of that backlog and how that evolves versus either your current gross margin or your targets of 60% longer term?
Donald McClymont: Yes. I mean obviously -- I mean we want to put that out in definitive terms and it's been strong across our whole product portfolio. The radar space, of course, is becoming -- as compared to perhaps two years ago, a larger percentage of the whole. And the radar win was a very significant part of that as indeed was the first vision win. And so to the second aspect of it, typically, these products do in that space, carry higher gross margins. So we view that as tailwinds towards our target of getting to 60% growth.
Ross Seymore: Thank you.
Operator: And our next question is from the line of Anthony Stoss with Craig-Hallum. Please go ahead.
Anthony Stoss: Hi guys. My congrats also on the progress. I wanted to focus in on the radar win -- can you explain, is there any major hurdles that are left between now and I think you said in the past late 2024 launch. Also, how quickly could it ramp? I know into this radar maker, it's probably into half a dozen or more out OEMs. Any additional information you can give on hurdles and timing and how quickly the ramp would be helpful? And then a follow-up.
Donald McClymont: Well, from a technology perspective, it's an area that we're very strong and have been historically as a group and the team. It's not rocket science, but it is a heavy lift from a development perspective. And we have a phenomenal team and a very large team working on this to make sure that we meet our commitments and our milestones and get the production with this. We're not going to release specifics about our programs. But I mean, suffice it to say, we're pretty happy with the way it's going right now. In terms of speed of ramp, there is, let's say, a very strong motivation to get this into production as quickly as possible through the Tier 1 into many, many OEMs. And I do expect that, that conversion process will be extremely quick.
Anthony Stoss: Got it. And Donald, just to follow up on your prepared remarks, you talked about cross traffic perception in your radar solution. Can you give a little bit more detail on that? And then would that be part of this radar in?
Donald McClymont: Well, yes, I mean, cross traffic detection, you mean, is basically somebody cutting across your bows, let's say, at an intersection or whatever. And the way that they make that happen is by having a radar on each of the front corners of the car in order to make that determination. So basically, what it does is it means that it adds two more RADARs per car, which is just music to my ears, it's more radars, means more chips, more chips means more money. So that's how that's going to play out for us. And the reason why not only that just because it's nice and it makes people feel safe, but it's going to be mandated by the regulatory agencies.
Anthony Stoss: Got you. And then two last quickies. If you could give a little bit more detail on the breakout of the $4.3 billion backlog, what portion is power, lighting, et cetera, et cetera. And then also the fact that you're not including any LiDAR in that $4.3 million backlog. Is that an indication that you think LiDAR still further out for the industry or a lack of role for you guys to play? I'm just curious your thoughts there.
Donald McClymont: And the first one, I mean, we don't -- we're not going to give you specific numbers or dollars or percentages of what the backlog this has to be. But I mean, as all of our product portfolio are fairly well represented in there. Of course, we've called out the radar win as being very significant. And we will allow you a little bit of angulations there with a few percentage just to try to figure out for yourselves how big that is. In terms of LiDAR, we do see it as being a little later in the market. We do see it as an incredibly relevant technology. So for us, we absolutely believe that we'll participate strongly in that. In fact, we expect to be leading that in technology when the time comes. But for us, we are also very focused on high volume, high revenue models where we can get return in a reasonable amount of time. And LiDAR, although we're continuing to invest in it, we do believe we'll be a little further out, but we'll be there.
Tom Schiller: One thing, Tony, I'd add on the backlog is it's actually remarkably diverse. So it's cutting across a dozen product areas and is underpinned by 20 Tier 1s and automotive OEMs.
Anthony Stoss: Very helpful guys. Best of luck. Thank you.
Tom Schiller: Thank you.
Operator: And our next question is from the line of Craig Ellis with B. Riley Securities. Please go ahead.
Craig Ellis: Yeah. Thanks for taking the question. I'll echo the congratulations on the record gross margins and the backlog performance. Nice to see those numbers.
Donald McClymont: Thank you.
Tom Schiller: Thank you.
Craig Ellis: Donald, yeah, you're welcome. I wanted to start off just by following up on LiDAR because I think three months ago, you indicated that there were four customers with which you're engaged. And now I think you said a half dozen. So the number has clearly gone up. Can you talk a little bit about what's changed with customer engagements and what you're seeing as you work with the six different partners?
Donald McClymont: I mean, it's -- we've added incremental engagements to what we announced before. We don't see any behavior change in that period, certainly. There's a lot of drive to bring the technology to market. There are still some hurdles to be crossed, not necessarily from our side, but for the whole market. And so I mean, really, I wouldn't call out anything as having been significantly changed. But over the course of 2023, 2024, there will be some small volume programs that launched but wouldn't move the needle for example, for our revenue if we are participating in that already of content. You just wouldn't even see it as we are ending are. So -- and as I mentioned in the last question there, we're very focused on large volume, large revenue, which with LiDAR will come, it will just take a little longer.
Craig Ellis: Yes. And nice to see what's going on with RADAR. The second question is regarding the comment that I think the team is now 600 employees across the world in your different design centers of excellence and they're in the home office. So the question is this, as you look at the opportunities in front of you and the current employee-based Donald, where do you think you need to invest? And how are you thinking about M&A because it has been a very successful part of building out your technology capability? And how are you thinking about that now?
Donald McClymont: Yes. I mean it has -- I mean we're -- we've grown a lot, of course, in the last few years. We are entering into somewhat of a digestion phase there as we organize and incrementally recruit. In terms of M&A activity, it is still, of course, a core part of our DNA. I think we're pretty good at it, and I'm sure we'll make success of that in the near future or in the long-term future. But for us, the barrier to entry into having an acquisition is very high. I mean we have very high standards. It has to be something that's going to accelerate our progress to our goals or to provide us with a significant augmentation to our IP portfolio such that we can make better products and deploy them into our customers. So we look at a lot of deals. We pass on most. And as such, it will be part of our long-term strategy, but kind of no news right now.
Craig Ellis: Yes. That's very helpful. And then lastly, Tom, not to leave you out, like the strong reiteration of the flip to profitability in the second half of next year. If you were to list out the three or four things that give you confidence in that transition, what would they be? Thank you, guys.
Tom Schiller: Yes. Sure. Well, clearly the strategic backlog being fully booked basically into next year, gets us there, continued gross margin expansion into the mid-50% range. And then OpEx is really just nominal growth from where we are now...
Operator: And we have no further questions in the queue at this time. I will now turn it over to Donald McClymont for closing remarks.
Donald McClymont: Thanks, everybody, for your time. Look forward to seeing you at the upcoming investor conferences and at the next call. Thanks a lot.
Operator: That does conclude your conference call for today. We thank you for your participation and ask that you please disconnect your lines.